Operator: Before I turn the call over to management, I'd like to remind you that the -- that management may make forward-looking statements relating to such matters as continued growth prospects for the company, uncertainties regarding market acceptance of products, the impact of competitive products and pricing, industry trends and product initiatives including products in the development stage, which may not achieve scientific objectives or meet stringent regulatory requirements. Forward-looking statements are subject to risk and uncertainties that could cause actual results to differ materially from those contemplated in such forward-looking statements. These statements are based on currently available information and management's current assumptions, expectations, and projections about future events.  While management believes its assumptions, expectations and projections are reasonable in view of currently available information, you are cautioned not to place undue reliance on these forward-looking statements. The company's the actual results may differ materially from those discussed during this webcast for a variety of reasons, including those described in the forward-looking statements and risk factors sections of the company's Form 10-K for the year 2021, which was filed March 11th, 2022 and its other filings with the sec, which are available on the Investor Relations section of Jaguar's website, Except as required by law, Jaguar undertakes no obligation to update or revise any forward-looking statements contained in this presentation to reflect new information, future events, or otherwise.  Additionally, please note that the company's supplements its condensed consolidated financial statements presented on a GAAP basis by providing gross sales, non-GAAP EBITDA, and non-GAAP recurring EBITDA. Jaguar believes that the disclosure items of these non-GAAP measures provide investors with additional information that reflects the basis upon which company management assesses and operates the business. These non - non-GAAP financial measures should not be viewed in isolation or as substitutes for GAAP net sales and GAAP net loss and are not substitute for or superior to measures of financial performance and conformity with GAAP. Today's conference is being recorded. At this time, it's my pleasure to turn the call over to Lisa Conte, Jaguar Health's Founder, President, and Chief Executive Officer. Lisa, the floor is yours.
Lisa Conte: Thank you for those very comprehensive forward-looking statements. Welcome all, and as you just heard, my name is Lisa Conte, and I'm the Founder, President, and CEO of Jaguar Health, and our wholly-owned subsidiary in the United States, Napo Pharmaceuticals. I'm also the Chairman of the Board of Napo Therapeutics, the corporation we established in Milan, Italy last year, to which we granted an exclusive license to Crofelemer in the European territory. Specifically, Napo Thera is initially pursuing a rare disease business model based on the orphan designation of Crofelemer for short bowel syndrome, which I'm going to refer to as SBS throughout this talk. Jaguar is the majority shareholder of Napo Thera, providing equity interest value to Jaguar, as well as the typical license terms, which we'll talk about in a moment. I'm going to begin today with a few brief updates, and then Carol Lizak, Jaguar's Chief Financial Officer, will provide a recap of key financial results for the first quarter of 2022.  As you'll hear from Carol, and I'm so pleased to steal her thunder at the moment, we are reporting Mytesi net revenue of approximately $2.6 million in the first quarter of 2022, representing an approximate 24% increase over Mytesi net revenue in the fourth quarter of 2021, which was approximately $2.1 million and approximately a 112% increase over Mytesi net revenue in the first quarter of 2021, which was approximately $1.2 million. These increases largely represents the important and continuing realization of the benefits from both the financial perspective and so importantly from the standpoint of improved patient access of the transition Jaguar completed this past January to distributing Mytesi through a closed network of specialty pharmacies, rather than to wholesalers that resell the product to retail pharmacies.  A transition that has decreased our distribution costs and improved our gross to net ratio to 76% in this first quarter of 2021, an improvement from all -- from approximately 27% in the first quarter of 2021. So having the net and the growth track much more closely together in Q1, 2022. After Carol whose thunder I just stole, we'll hear from Ian Wendt, Jaguar 's Chief Commercial Officer, about several new Mytesi related commercial initiatives that we're very excited about, including a tele-health initiative to continue to educate and serve the HIV community and about commercial efforts underway for Canalevia CA1, our prescription drug, [Indiscernible] induced diarrhea, which I'm going to refer to as CID, chemotherapy-induced diarrhea in dogs that received -- and the product received conditional approval from the FDA this past December and became commercially available to veterinarians and their clients in the U.S. to provide comfort and relief to their canine patients at the end of April 2022, just last month.  An estimated nine million dogs were acquired by the U.S. households during the pandemic, according to the American Pet Products Association, bringing the total number of dogs in the United States to 108 million, which is roughly one dog for every three humans in the country. 25% of dogs will deal with a tumor at some point. 50% of dogs over 10 years of age will be diagnosed with cancer. And addressing CID is key to canine survivability from cancer, as well as for supporting dog owners in the decision to seek cancer care for the dogs. Dogs are remarkably predictive of, and similar to the human CID situation. As with human cancer patients, dogs go off their disease modifying chemotherapy, approximately 40% of the time due to diarrhea. Meaning these dogs cannot complete their therapeutic dose of chemotherapy because of diarrhea.  Extremely relevant in the dog market though, is the comfort factor for the dog. A key factor influencing a dog parent's decision, about whether to treat the dog's cancer. And, the quality of life for the whole family is the key factor as well. A dog losing control on the rug, bed, couch, is an important consideration for the family household. While we do not provide guidance, we do feel the total adjustable dog CID market, could be about the size of the total addressable markets for the human HIV specialty markets, and provides much greater predictability, of this gross to net ratio, since dog parents are typically paying out of pocket for treatment and medications. So we don't have the variability in the charge backs as you have in human situation. Education about the devastating impact to the patient of diarrhea in cancer therapy, builds awareness, regardless of whether the patient is a human or a dog.  And while we're on the topic of canine cancer, I want to take a moment to invite all of you, to the in-person special media event and performance in New York City on Monday, May 23, from 12:30 to 2:30 Eastern Time, to celebrate the launch of the Jaguar Health Canine Cancer Take CHARGE initiative. CHARGE is an acronym for Canine Health and Registry Exchange. The goal is to establish the first ever U.S. canine cancer national registry and cancer care index to assess the prevalence and incidence of cancer in dogs. The mission is important, because protecting dogs from cancer begins with knowing its impact by breed, by type, by age, by gender, and the geography locations. We will be revealing data at the event from the first nationwide Gallup survey of pet owners, which is an important media [hub] (ph), addressing their experience with canine cancer, as well as the registry itself that is based on the analysis of thousands of canine medical records - anonymous canine medical records. The data, may also provide insights to help better understand cancer in humans, and the importance of managing side effects in humans, in human cancer therapy.  You can RSVP online for this in-person outdoor event on the Events and Presentations page of the investors section of Jaguar's website, or you can RSVP by sending an email to takechargersvp@togorun.com, T-O-G-O R-U-N.com. If you're not able to join us in person in New York on May 23rd, virtual access will of course be available. This is an event for all interested parties, dog owners, veterinarians, veterinary oncologists, investors, the media, anyone who is concerned about addressing and managing cancer in our four-legged best friends. And the event is taking place on the first Annual National Canine Careness -- Canine Cancer Awareness day. National Canine Cancer Awareness day. [Indiscernible] doggy treats will be served and the event will feature presentations by Jaguar, by collaborating partner Togo Run, our wonderful PR firm that is supporting this effort, by Gallup, the leading survey organization that conducted our national poll of dog owners about canine cancer.  And from Dr. Sue, the famous cancer vet who has enormous online and offline following. And very excitingly the Take Charge launch event will also feature performances by a truly amazing lineup of Broadway stars who are also dog lovers and want to bring awareness to this activity. A lineup that we expect to include academy award nominated actor and playwright Chazz Palminteri; actress and producer Gianna Palminteri, his wife; actor, director and producer Richard Blake; Grammy winning and Tony nominated actress Jenn Colella; recently Tony nominated actress as of yesterday Shoshana Bean; Broadway actor and singer Bobby Conte, who happens to be my son. Tony nominated actor, singer, and song-writer Orfeh, her husband Tony nominated actor and singer, Andy Karl; and Broadway actor, singer and song producer [Indiscernible], who are very excited about this event. It will be educational, it'll be entertaining, and we would be thrilled to have you attend.  2022 is Jaguar's year the dog, and we're praying for good weather on the 23rd. As a reminder, crofelemer under the trade name Mytesi is our plant-based FDA-approved anti-diarrheal drug indicated for the symptomatic release of noninfectious diarrhea in adult patients with HIV-AIDS on antiretroviral therapy. This is the current indication. Crofelemer is also the focus for human pipeline indications on the clinical development front. Each expected to create transformative value for Jaguar in the next 12 to 15 months. And this includes prophylaxis of cancer therapy-related diarrhea, and short bowel syndrome, SBS, which is a catastrophic health situation for which crofelemer has received orphan drug designation in the U.S. and the European Union. Crofelemer is also the active ingredients, by the way, in Canalevia CA1, the dog product. Enrollment is continuing for the ONTARGET study, our Phase 3 trial of Crofelemer for CTD cancer therapy-related diarrhea in humans.  We're aiming to complete 256 patient enrollment by the first half of 2023. As I mentioned during the last webcast on March 14th, we're in the process of adding additional clinical trial sites, both in the United States and outside the U.S. to help ensure patient enrollment despite COVID-related restrictions in global unrest and the diversity of the tumor types in the patients. The successful completion of this pivotal trial will result in a supplemental new drug application filing for the same formulation as the currently commercialized Crofelemer Mytesi. Mytesi is of course, already approved for chronic use in people with HIV-AIDS and has the full FDA compliance supply chain in place from the rain forest to our specialty pharmacy distribution network across the U.S. And as reminder, safety and manufacturing are the two most common reasons why new drug applications fail. Hence, we spend much care in communication with the FDA, in the design and execution of this final clinical and regulatory step, to bring Crofelemer to cancer patients suffering with diarrhea.  Diarrhea is the most common side effect of cancer patients. As mentioned, an estimated 40% of patients with CTD continue their chemotherapy or their targeted therapy, their life-saving cancer treatment, because of diarrhea. And this is not your garden variety traveler's diarrhea. Patients are often hospitalized CTD for duct dehydration, electrolyte imbalance, and organ failure, and some patients have even died from the impact of their diarrhea, during clinical investigation by targeted therapy manufacturers. Our second core development focus for Crofelemer in 2022 is the orphan designated disease SBS. We expect investigator initiated proof-of-concept studies for Crofelemer for SBS, and congenital diarrheal disorders, CDD, a rare inherited disease causing life-long intestinal failure.  And we expect these investigative proof-of-concept studies to be completed in 2022, and others continuing into 2023 at sites in the Middle East and Europe importing the potential for expanded patient access in 2023 through programs in Europe for these devastating and catastrophic diseases in health situations for these patients. Expanded patient access is a reimbursed program throughout Europe. SBS and CDD clinical development efforts are being led by the skilled, focused in rare disease, experienced Napo Therapeutics management team in Italy. A leadership team comprised of Managing Director, Chief Medical Officer, and a Head of Regulatory and Quality. As another reminder, we've established Napo Therapeutics in Europe because the European Medicines Agency, the EMA, committed to the -- equivalent to the FDA in the United States, is committed to enabling reimbursed early access to new medicines with orphan drug status.  Underscoring the important unmet medical need to patients through early access programs. Participation in an early access program would potentially provide patients with access to Crofelemer as early as 2023 and thereby potentially impacting in a positive way their morbidity, mortality and the cost of care for this chronic indication SBS, that has no good therapeutic options. Both CDD and SBS patients with intestinal failure typically require parental nutrition up to 20 hours a day, seven days a week, to survive, at tremendous costs, with tremendous accompanying medical complications, huge impact on any quality of life. The ability to decrease, the printer nutrition requirement by even 20%, we provide a huge medical and quality of life improvement. In a typical rare disease business model, these substantial benefits are highly valued for relatively small patient population. A global SBS market of an estimated 40 to 60,000 patients worldwide is expected to reach $4.6 billion by 2027 according to a third-party report from Vision Research reports.  Napo Thera operates under an exclusive license to Crofelemer from Jaguar, for which Jaguar receives typical license payments, including an upfront payment, milestone payments, royalties, and transfer pricing of Crofelemer. Jaguar also receives the value of the clinical data generated by Napo Thera, in this case for SBS, as reciprocally Napo Thera receives the value and the ability to utilize the [Indiscernible] the cancer Phase III data Jaguar is developing. Hence the parallel, complementary, and geographically focused development difference of crofelemer for these two core indications, CTD, cancer, and SBS, short bowel syndrome are progressing simultaneously and collaboratively with dedicated teams respectively. And again, a key advantage of the Napo Thera effort to Jaguar is that Napo Thera is well over majority owned by Jaguar, providing potential equity accretion value to Jaguar shareholders and stakeholders, which we believe is unrecognized at this time. Once again, these are the two core pipeline events transforming crofelemer from pipeline to what we believe will be tangible value in the next 12-15 months. In additional key clinical milestone for 2022 is the filing of an investigational new drug, IMD, investigational new drug application with the FDA in the mid-year of 2022 this year for symptomatic relieve of diarrhea from cholera.  And this is for our second-generation antisecretory called Lechlemer. Lechlemer is a different chemical action of proanthocyanidins extracted from the Croton lechleri tree which is the same tree from which we get crofelemer and which we believe defines Lechlemer as a distinct product from crofelemer under FDA botanical guidance. And by the way, Lechlemer has lower manufacturing costs than crofelemer. Lechlemer works by the same novel antisecretory mechanism of action as crofelemer. We're planning to initiate a Phase 1 lechlemer study in the second half of 2022, for as I mentioned, the symptomatic relief of diarrhea from cholera. In support of this clinical activity, we received comprehensive animal toxicity pre -clinical services supported by the National Institute of allergy and infectious diseases and NIAID. NIH basically, for four pre -clinical studies which have been completed.  We plan to pursue a tropical disease priority review voucher for lechlemer, under the FDA's financial incentive program, to develop drugs for tropical diseases that just color. Priority of investors are transferable, and in past transactions by other companies, as sold for prices ranging from $67 million to $350 million. And this therefore provides a potential immediate return on investment upon approval of the product lechlemer, for the symptomatic relief of diarrhea from cholera. On the business development front as previously announced, this year, we entered an agreement at the end of one with Quadri Pharma that grants Quadri Pharma, exclusive promotional commercialization and distribution rights, for specified human indications of crofelemer in Bahrain, Kuwait, Qatar, Saudi Arabia, UAE, and Oman.  Following regulatory approval to market crofelemer in these countries for the specified indications, including the indication currently approved in the United States for HIV related diarrhea and cancer therapy related diarrhea, for which crofelemer is currently as I mentioned in the pivotal Phase 3 trial. In addition, the agreement grants Quadri Pharma exclusive rights to distribute crofelemer in these countries in the immediate future under named patient programs. Quadri Pharma has knowledge and experience in the distribution of pharmaceutical products throughout the Middle East, including the servicing of requests for particular medicine in markets where that medicine does not yet have marketing approval, such as requests related to a named patient program, which provides revenue generating products approved in a major market countries such as the United States to individual named patients through physician requests in the country where marketing approval has not yet been granted.  According to UNAIDS 2020 global report, the HIV epidemic is growing in the Middle East and North Africa, referred to as MENA region, with an estimated 20,000 new infections in 2019, a 25% increase over infections in 2010, an estimated 170 000 to 400 000 adults and children in the region who lived with HIV in 2019. This is a revenue sharing relationships for HIV -related diarrhea in Bahrain, Kuwait, Qatar, Saudi Arabia, UAE, and Oman, and the agreement terms provide Jaguar with an increase in the revenue sharing percentage for sales in these countries of newly approved indications, which will apply to the CTD and, ultimately, inflammatory bowel diseases indications for Crofelemer upon marketing approval. Dr. Karen Brunke of Jaguar is very experienced and capable Executive Vice President of Corporate and Business development, orchestrated our relationship with Quadri Pharma, and this collaboration is a welcome and important step towards making Crofelemer 's novel mechanism of action available to patients in need in global markets.  Karen is hard at work, continuing hard at work, pursuing additional business development opportunities for Crofelemer, which again, we consider our pipeline within product for multiple potential indications in other key markets outside the United States. Lastly, I'd like to wish you all participating today, know that we will have a brief Q&A segment at the end of this webcast to address questions if any, submitted in writing as we normally do. Questions can be submitted via the webcast link for today's event that appears on the Events and Presentations page of the Investor Relations section of Jaguar's website. The URL for Jaguar's website is jaguar.health. I'd also like to point out that the listed analysts that cover Jaguar can also be found on the Investor Relations section of Jaguar's website and includes a new addition this week. We are now being covered and initiation is expected this week. While we're now being covered by [Indiscernible] Cantor Fitzgerald in just this week, the initiation is expected from CWIC equity solutions in conjunction with TAG T-A-G investment bankers. We'll now move along to key financial results for the first quarter of 2022, and I'll turn it over to Carol.
Carol Lizak: Thank you, Lisa, and thank you all for joining our webcast today. I'll begin my review of our financials for the first quarter of 2022. Mytesi net revenue during the first quarter of 2022 was approximately $2.6 million, and approximately $2.1 million in the fourth quarter of 2021, an increase of approximately $500,000, or approximately 24% quarter-over-quarter. And an increase of approximately 112% over Mytesi net revenue, in the first quarter of 2021, which totaled approximately $1.2 million. The transition to a closed network of specialty pharmacies, which was completed this past January, resulted in a meaningful reduction in Mytesi distribution costs, and a higher average net price. As part of the process of transitioning to a closed specialty pharmacy network, the third and fourth quarters of 2021, were significantly impacted by the inventory draw down of approximately 1,300 bottles of Mytesi, across the company's third-party logistics warehouse, wholesalers, distributors and retail stores.  Mytesi, prescription volume, the metric the company believes to be the best indicator of growth in patient demand, increased 14.6% in the first quarter of 2022 over the fourth quarter of 2021, prescription volume differs from invoice sales volume, which reflects among other factors, varying but buying patterns among specialty pharmacies in the closed network as they manage their inventory levels. Mytesi gross revenue, a non-GAAP measure, was approximately $3.4 million in the first quarter of 2022 and $3 million in the fourth quarter of 2021, representing an increase of approximately 400,000 or 13.4% quarter-over-quarter, a decrease of approximately 25.5% over Mytesi revenue, gross revenue that is, in the first quarter of 2021, which was approximately $4.6 million.  The increase in Mytesi gross revenue in the first quarter of 2022 over the fourth quarter of 2021 is due largely to the fact that infrastructure required to complete the transition to a closed network of specialty pharmacies was not fully in place in the fourth quarter of 2021. And the loosening of COVID-related travel restrictions in the first quarter of 2022 allowed Mytesi sales personnel to visit more healthcare providers. The decrease in Mytesi gross revenue in the first quarter of 2022 as compared to the same quarter in the prior year was due to the process of transitioning to distributing Mytesi through a closed network of specialty pharmacies instead helps through wholesalers that resell the product to retail pharmacies. For the first quarter of 2022, the loss from operations was $11.8 million compared to loss of $8.8 million in the first quarter of 2021, an increase of $3 million quarter-over-quarter largely due to the increased clinical trial activities related to the company's ONTARGET Phase 3 off crofelemer for prophylaxis of cancer therapy-related diarrhea or what we call CTV, as well as development efforts for other indications.  For the first quarter of 2022, the net loss attributable to common shareholders was approximately $18 million compared to a loss of $12 million in the first quarter of 2021, an increase of $6 million quarter-over-quarter. In addition to the loss from operations, interest expense increased $2.3 million from $1.9 million in the three months ended March 31, 2021 to $4.2 million for the same period in 2022. Primarily due to interest from the royalty and note agreement. The increase in the loss and extinguishment of debt from $753000 in the three months ended March 31 2021, to $2.8 million in the same period in 2022, is due to the $2.8 million extinguishment loss, from the exchange of the outstanding balance of one of the royalty agreements for shares of the company's common stock.  Also change in fair value of financial instruments, and hybrid instruments designated at fair value option or FVO, losses decreased, $400,000 from a loss of $600,000, industry months ended March 31, 2021, to $200,000 for the same period in 2022, designated as FOV or FVO, I should say. Other income increased by $800,000 from $10,000 in the three months ended March 31, 2021, to $800,000 for the same period in 2022 due to the foreign currency transactions. Non-GAAP EBITDA for the first quarter of 2022 and the first quarter of 2021 was a net loss of $9.4 million and $6.8 million respectively. That concludes my recap of high-level financials for the first quarter of 2022. I will now hand the discussion over to Ian Wendt, Chief Commercial Officer. Ian?
Ian Wendt: Thank you, Carol. And good morning to all. As Carol stated, Mytesi total prescription volume, the metric we believe to be the best indicator of patient demand, increased 14.6% in the first quarter of 2022, over the fourth quarter of 2021. As previously announced, the transition to a closed network of specialty pharmacies, has resulted in a meaningful reduction in Mytesi distribution costs as well as a higher average net price. In fact, I'm very pleased to report that we significantly outperformed the industry gross-to-net average in the first quarter of 2022, and the fourth quarter of 2021 for sales of our human prescription product as a result of our transition to the closed network of specialty pharmacies. A key component of the company's market access strategy, the initiative to transition to a closed network of specialty pharmacies, is intended to help remove access barriers for patients prescribed Mytesi, and include services such as a higher level of support for prior authorizations, appeals, adherence counseling, and home delivery options.  While patients often visit retail pharmacies for short term or uncomplicated medical needs, specialty pharmacies focused primarily on serving patients with complex and chronic medical conditions like HIV. Importantly, this transition has also allowed us to begin utilizing sales and prescription data directly provided by our network of specialty pharmacies to more accurately track prescription volume and the patient journey rather than relying on a third-party provider of estimated data for these important performance metrics. And assists in the preparation of our U.S. commercial distribution network for potential future indication expansion of crofelemer to other populations of patients with complex medical needs, such as CTD and SBS. I'm also pleased to report that we have rolled out new innovative programs that further support identifying appropriate Mytesi patients and connecting them to care and medication access services.  The first program is a tele -health initiative, which went live just this past Friday that enables patients seeking help with our HIV related diarrhea to be linked immediately to a provider for assistance with their medical needs. This new capability prevents patients from having to wait until their next scheduled doctor visit to get help with an urgent problem. Our second new program delivers digital Mytesi and disease state education directly into a provider's electronic health record or EHR system so that they learn about Mytesi at the moment they are seeing their HIV patients. This technology allows us to intelligently deliver ads to a provider based on the profile of the patient they are seeing in their exam room. I know this is strictly a one-way communication. We do not actually receive any protected health information around this program. Both of these programs are designed to drive incremental brand awareness, among prescribers who have not written for Mytesi previously, and among patients who have not been able to receive immediate care for their HIV related Diarrhea.  Now, turning to the animal health side of our business, we are thrilled, as Lisa mentioned, that Canalevia CA1, our FDA conditionally approved treatment for chemotherapy-induced Diarrhea or CID in dogs, became commercially available to veterinarians across the United States at the end of last month. Canalevia CA1 is an important prescription drug introduction for the veterinary community and the thousands of dogs experiencing CID. As Lisa commented, dogs as with humans, go off their disease modifying chemotherapy approximately 40% of the time due to diarrhea. Canalevia CA1 can help support the comfort and quality of life of dogs while being treated with chemotherapy, which may help them remain compliant with their life-saving treatment. The reception of Canalevia CA1, among general practice vets and veterinarians oncologists who have learned about the product has been extremely positive. Launch activities for Canalevia CA1 remain underway.  The product was a focus of Jaguar animal health exhibit booth at the recent in April, veterinary cancer society, mid-year conference, which took place in Port of VAR to Mexico. The company also held a well-attended dinner event. Veterinary oncologists about CID in dogs at this conference, Jaguar animal health will be also be exhibiting at the 2022 American College of Veterinary Internal Medicine or ACVIM forum in Austin from June 22nd to the 25th. As announced, we expect that Canalevia could additionally receive FDA conditional approval under the name Canalevia CA2 for the treatment of exercise-induced diarrhea, what is termed EID, in dogs in the fourth quarter of 2022, which will be a very fitting way to finish up what we're referring to as Jaguar’s year of the dog. That concludes my comments. Thank you for your time today. I'll now pass the conversation back to Lisa.
A - Lisa Conte: Thank you, Ian. Thank you, Carol. Nicely done. We at Jaguar, Napo and Napo Thera are energized about all of the important initiatives underway in 2022, and in particular, the expectation for what we feel will be transformative value creation in the next 12 to 15 months as we focus on supporting the realization of the value of our crofelemer pipeline.  We now open the floor to written questions that have come in, and I will start to pull them up right now. Okay. My connection to the questions just disappeared, but it's coming back. Peter, if you are online, can you see the questions? Can you read them out to me?
Peter Hodge: Yes, I can read them out to you. The first question is --
Lisa Conte: Okay. Why don't we do that?
Peter Hodge: Is there a plan for an upcoming IPO?
Lisa Conte: So of course, we're a public company. That must be referring to Napo Therapeutics. And Napo Therapeutics has indicated that it would seek liquidity in after what we're looking for and they're looking for the value transformative event of completing the proof-of-concept studies that are published, that could support expanded patient access. So that liquidity event could take many different forms. But of course, Jaguar is already public, and well over the majority of Napo Thera is held in equity in Jaguar.
Peter Hodge: Next question. Congrats on the quarter. We saw the statement on the 10-Q regarding your current capital runway. We are interested to know more about your strategy, and extending your runway, can you provide more color here?
Lisa Conte: That's from Karvi. Hi, Karvi. Okay. I can see the questions now, Peter. So we -- money is fungible, money is money, but we do our best to match the expense of our clinical initiatives to non - dilutive dollars. For example, the SBS, of course, is being run by the funds that are in Napo Thera. And Napo Thera has additional fundraising activities going on now. And our cancer program, we match to the royalty deal that we have where we have royalties based on the revenues that are coming in from Mytesi for HIV a royalty funding program. And with some of the business activities that we're planning in 2022 that are initiatives and discussions that have started months, if not years ago, we're looking to continue to bring in non - dilutive dollars to fund our clinical programs.  At this moment, there are no plans to do an equity raise or a structured raise at this stock price. Okay.  Will we see a big PO for Canalevia for Mars pet company this year? Mars, which, for people who don't know, Mars -- the Mars company, the candy bar company, they own VCA and a couple of other major -- they have corporate ownership of many clinics. Ian, you probably know what the number of clinics are throughout the United States and even outside the United States. I want you to jump in in a moment here. So they are absolutely a customer, and many of the veterinarians who work and do clinical trials in that network has participated in the presentations that we have done with the education and promotion of Canalevia. So yeah, we expect that there will be sales into the Mars network. And Ian, do you know what that number of vet clinics is in the Mars network is?
Ian Wendt: I know in the specialty clinics space, I think they have about 90 to a 100, and those would be clinics that include oncology care. The primary care clinics, or general practice clinics, number into the many hundreds. In fact, I think it might even be approaching a thousand, especially with all the recent acquisitions that they've made, they bought up a number of large clinic chains, or medium to large clinic chains, so they are a huge customer of ours. They actually reached out to us, to kick off the commercial discussions, because they were very interested in stocking Canalevia and adding into their formulary, and we're certainly expecting them to be a large customer.
Lisa Conte: Perfect. And these days, more and more dogs are being treated for cancer at their general veterinary practitioner, not just at specialty clinics although the specialty research and awareness and education in their oncology specialty clinics really are the organizations that are cutting edge and are a focus of our initial efforts for Canalevia education and promotion.  I do want to just want to go back one question to Karvi. Also, I believe everyone's aware that we do have an ATM in place and so that does provide great flexibility for a company like ours if at some point we feel concerned about cash because of excess time or excess expense, for example, in our clinical trials. We can always utilize the ATM.  Could you talk a bit more about the name patient program? So how does it work? What's the impact it can have on top line in the near medium-term? Name patient program is terrific.  It's fantastic for patients around the world in countries where there is not FDA approval -- I'm sorry, where there's not clinical approval, regulatory approval in their particular country, but where a major country like the United States has FDA approval. Obviously for us, it's for the HIV indications. Physicians who become aware of Mytesi can specifically name a patient for which the product can be imported and prescribed and paid for. So it is at our WAC price and in the case of Quadri, it's based on the revenue sharing model that we talked about and so it can provide immediate release to these patients, as of physicians become aware of Mytesi and the need in certain patients, well, the regulatory process is continuing in different countries in the [ME](ph) region.  And I don't see any other questions. Peter, do you see any other questions?
Peter Hodge: I do not Lisa. I think we’re good on that front.
Lisa Conte: Okay. I think we're good. Thank you all for participating and we're very excited about this quarter's results and we're very excited about the continual performance of Mytesi, Canalevia in 2022. And of course, the SBS and the CTD in the future. Have a wonderful day. Thank you all.
Operator: And this concludes today's webcast. We thank you again for your participation. You may now disconnect.